Ingela Ulfves: Good morning, everyone, and warm welcome to our webcasted news conference on Fortum's full-year results, 2021. Just for the record, this event is being recorded and we will provide a replay of the event later today. My name is Ingela Ulfves, and I'm the Investor Relations head at Fortum. With me here today, are our CEO, Markus Rauramo, and our CFO, Bernhard Gunthe. Markus will start by commenting on our Russian businesses before moving into last year's performance. Bernhard will then provide more insights into the full-year 2021 results and the drivers. After the presentation, we will open up for questions from the teleconference. We have reserved one hour and 50 minutes for this webcast event today. So with this, I hand over to Marcus to start.
Markus Rauramo: Thank you very much, Ingela. Let me first address what has been on our mind over the last days and how we assess our Russian exposure. Following this, I will then guide you through the headline performance indicators and the market drivers that have played a substantial role, especially in the fourth quarter with outstanding movements in commodity prices. Additionally, I will share my view on our operating environment and link this to how we are progressing with our strategy implementation. Bernhard will walk you through the numbers then in more detail. I will start with setting the frame, looking at the geopolitical situation. I'm deeply saddened and concerned by Russia's attack on Ukraine, we all are at Fortum.  As European s, we know from our history, that military force is the worst way to solve political conflicts. Over the past week, we have already witnessed what great suffering the war in Ukraine is causing people. This cannot be justified. The war has also shaken the relationship between Russia and Europe profoundly. The damage done to the ties that we have built up over decades will be far reaching. As you know, Fortum has long business relationships and broad operations in Russia, so we are following the situation with the highest attention. In this critical situation, it is our duty to care and to focus on the well-being of our employees and our commitments to our customers. We are in the business of providing security of supply of energy and our customers depend on us for power, gas, and heat. Also, in Russia. All of our operations are currently running as normal, so we can fulfill our duties to our customers. At the same time business as usual, cannot continue. For now, we have stopped all new investment projects in Russia until further notice, and we will continue to reduce our thermal exposure in Russia. We're also of course, closely monitoring the developments of sanctions. The situation is very dynamic and it is very difficult to predict the impacts on our operations in the future. Yet it is obviously clear that we are complying with all applicable laws and regulations, including sanctions and preparing for barrier scenarios. In case the escalation of events would hinder us from fulfilling our energy delivery commitments to our European customers, we would work with our respective regulators and governments to find a joint solution.  In this situation, it is clear than ever before that Europe urgently needs an energy transition, and Europe needs to diversify its energy sources. We are actively supporting a sustainable and secure European energy supply through our investments into clean power, clean gas, and flexibility. This morning's announcement on our decision to apply for an extension to the lifetime of Loviisa nuclear power plant in Finland. Uniper has recently increased LNG imports, and decision to resume planning of a hydrogen-ready LNG terminal in Wilhelmshaven in Germany are clear examples of this commitment. Before I move onto our annual results, let me just say that in this unprecedented situation, we are in great need of resolve and a new level of corporation in energy across Europe. I want to thank our colleagues across Fortum and Uniper for their commitment and determination in securing energy supplies for Europe in these uncertain times.  Then, over to the results. 2021 was characterized by very volatile market fundamentals, with unprecedented commodity price levels resulting in an outstanding performance across the group. On a full-year level, we achieved highest comparable EBITDA, highest comparable operating profit, and best-comparable EPS ever in Fortum 's history. Even though it is good to remember that we had some sales gains and consolidated Uniper first time fully in all quarters, the performance was very strong, despite the very challenging market environment. Worth mentioning is also that due to the commodity price fluctuations and IFRS accounting, our reported EPS shows a negative result. Bernhard will guide you through this in the financial section.  Looking at the balance sheet, our leverage defined as financial net debt to comparable EBITDA, has come down tremendously. We have substantially worked to strengthen our balance sheet, and are way below our set leverage target of below two times. By de -leveraging, we are well-positioned to navigate through these turbulent times. Q4 profit was operationally very strong, as nearly all segments could take profit from the strong commodities environment. On the flip side, our Consumer Solutions business suffered substantially from this market situation. It has been a challenge for the whole organization to deal with this extreme market development, especially maintaining security of supply for our customers, and to keeping financial liquidity high, in order to manage the collateral requirements cost by rising prices. Uniper took a series of financial and operational measures, including group support and an undrawn revolving credit line from the German state-owned, KfW Bank, to ensure sufficient liquidity. Those measures are also reflected in the operating cash flow that doubled on full-year, and in the isolated quarter. In this context, let me highlight that we support Uniper management's proposal to put a stronger focus on liquidity and investment capacity and to cut the payout for 2021 to the minimum dividend under German stock corporation law. At the moment, I don't see any reason for Uniper to pay our dividend going forward either. Fortum's dividend policy is to pay a stable and overtime growing dividend. This is reflected in the dividend proposal of €1.14, which is a slight increase the previous year.  To sum it up, strong group performance in a volatile commodity market with an organization giving it's best serving our customers. Working closely with our suppliers, and maintaining our strong financial flexibility. Now, over to the underlying market fundamentals. As I said, it is obvious that volatility increased on all energy commodities last year. Energy commodity prices soared in the fourth quarter, supported by ongoing economic recovery and global supply constraints, especially in gas. Our commodity demand combined with long-term term negative investment trends and supply constraints created an unprecedented price rally. Coal prices were soaring and at the same time CO2 prices reached record high levels. Consequently, gas, coal, and carbon prices underpinned the very strong price development in the European power markets. Continental power prices gave a boost to the Nordic spot price, which was also supported by low precipitation and less wind. The spread to German power prices is nevertheless quite large, especially in forward prices. Besides strong wind builds out, internal transmission net and interconnector restrictions, and bottlenecks also affected the widening spread. Looking at the forwards, the market expects that tight situation to continue in gas and continental power markets until summer 2023. So what is my read of this from a CEO perspective? The last 12 months crystallized four main trends that I partly already touched. I believe that amongst all the turbulence, these trends are still very valid.  First, Europe is committed to be a front runner in reducing greenhouse gas emissions across all sectors, to fight climate change and to accelerate the energy transition. Sustainability is the license to operate. Secondly, as Europe is accelerating, the build-out of intermittent renewable capacities, replacing conventional capacity, the need for security of supply is becoming more obvious. Not just in the context of the current crisis, but also in the context of increase in electrification over time. Thirdly, given the decreasing investments in conventional fuels and capacity, supply imbalances and cost inflation drive an elevated price environment, which is jeopardizing affordability. Fourthly, the current geopolitical situation suggests that the elevated price scenario is here to stay for the longer-term. The market will further price in uncertainty and value security of supply. While some of our peers focus solely on the build-out of intermittent renewables, we took the conscious decision to focus on a fast and reliable transition to a carbon neutral economy.  We provide our customers and societies with reliable, flexible, and clean power and gas, addressing the ultimate needs in the transition. And we do this today, not in 10 years’ time. The core of our business is strong hydro and base-load nuclear, making us the third largest CO2 free generator in Europe. We are also a significant provider of flexibility with our hydro, increasingly clean gas-fired generation, and our gas storage business. 2021 proved that our position as a major power generator in Europe, and as a major provider of gas is needed in the European energy transition. We have a strong balance sheet and we have the resilience to weather the storm. Our priority is how to decarbonize our portfolio, and to drive profitable growth without compromising on Fortum's dividend and financial strength. So how are we progressing against these targets?  First, Fortum is a front runner in creating clean energy generation for decades. In addition to our already ambitious climate targets that covers scopes 1&2, we set out our reduction target for scope 3, which means indirect greenhouse gas emissions in December We will reduce these emissions by 35%, by 2035 at the latest. In Europe, we are advancing fast with our coal exit. In our Uniper business in Germany, we were successful also in the latest round of auctions for the closure of coal-fired power plants. The bid for the closure of the Staudinger 5 power plant was accepted, making our subsidiary Uniper, the biggest contributor in German coal exit auctions, more than from any other company. Secondly, we are ramping up our CO2 -free power generation. This year, we will get the addition of Olkiluoto 3 with our share of 400 megawatts, and in addition, we decided to apply for the lifetime extension of our fully-owned Loviisa nuclear plant. I will come back to this. We're also proceeding with our investment in renewable growth, which includes the launch of our first Fortum and Uniper wind and solar team project. Pjelax-Bole and Kristinestad Norr wind parks to be built in cooperation with Helen, the Helsinki city owned utility. We also won rights to build more renewables, both in India and in Russia, over the next years that are backed by PPAs or CSA payments. However, as I said before, we have now stopped any new investments in Russia for the time being. Thirdly, we are providing security of supply to the grid operators in various forms as well as the industrial customers.  For example, in Scholven, we replaced an existing coal-fired power plant by a modern combined cycle gas turbine, and there are plans to reduce its CO2 emissions towards 2030 by converting from natural gas to hydrogen. Additionally, we will have a capacity of 1 gigawatt of electrolysers in place by 2030, which shows that we can build on our first-mover position in hydrogen. This morning, we disclosed that we have decided to apply for a lifetime extension for our 100% owned nuclear power plant in Loviisa, in Finland, until the end of 2050. We're going to offer 170 terawatt hours of additional CO2 free power for the European power markets over the lifetime extension.  By applying for the extension, we want to support the achievement of Finland's and Europe's carbon neutrality targets, provide security of supply and competitive and sustainable energy. Over the last five years, we have invested some €325 million in the Loviisa power plant. Investments related to continuing operations and the lifetime extension are estimated to be €1 billion. With this, I hand over to Bernhard.
Bernhard Gunthe: Yeah. Thank you, Markus. And a warm welcome also from my side. As usual, I will start today with a financial overview of our key comparables. But as this year was a rather exceptional one in terms of market price movements, I will additionally run you through some reconciliations how the market volatility has been impacting our P&L balance sheet and liquidity. To have more time for the Q&A session, I will comment a segment only on an aggregated level today and close with the outlook section. Starting with the financial overview. Let me begin with the obvious. What you see here is a substantial increase across all KPIs following market fundamentals, as Markus has said. These give a comprehensive view on the strong underlying contribution that we have seen throughout the year, adding an even stronger fourth quarter, also in the light of the already good contribution we had in 2020.  Our financial position improved following the closing of a series of divestments, as Markus said, and our credit metrics are now solid with financial net debt to comparable EBITDA being at just 0.2 tonnes against target of below 2 tonnes. As this is also driven by liquidity measures taken by Uniper and the group. The ratio is expected to reverse somewhat in the course of the year. The strong increase in commodity prices has impacted P&L balance sheet and liquidity. And before going into the details, let's have the short segment overview. Looking at the full-year earnings figures, we see a substantial increase in comparable operating profit. Nearly all business segments are up year-on-year and could take profit from the market environment. What you see here are in essence three things.  First, we could materialize on the commodity price increases across the group. This holds true for the generation business with an outstanding search and achieved prices and strong physical and financial optimization. The City Solutions business gained from higher heat prices and volumes and Uniper's guest business gained from the optionality in the portfolio. Russia also performed well, but we will see lower CSA income going forward. Second, like all retailers, we suffered from the high price levels in Q4 in our Consumer Solutions business, showing a negative year-over-year delta and negative result in Q4. And third, there are some consolidation effects at play to bear in mind, and this is that Uniper was only fully consolidated from Q2 2020 onwards, and was still included as an associate company in the first quarter of 2020.  In the first quarter of 2021, Uniper contributed €711 million. We also announced this morning, that we are discontinuing the strategic reviews of our police district heating business and our Consumer Solution business. We have decided that we will continue to develop these businesses as part of the group. Now over to the P&L. A strong increase in market prices gave us, and especially our Uniper segment, major opportunities to optimize the portfolio. Next to the strong comparable earnings picture, it had a series of effects on our reported figures. These movements are not a source of concern, but rather a normal course of business running a commodities business. The main issue is the increase of the fair value of our financial derivatives impacting P&L balance sheet and liquidity.  The rationale is the following: As we run the business in a prudent manner, we hedge to lock in cash flows and results, to ensure continuous operations, financial liquidity, and to deliver on our promise of a stable and overtime growing dividend. As commodity prices surged, the hedge deals decreased significantly in value. However, the corresponding value on underlying assets like power plants or inventories are not reflected here as their book values are kept at [Indiscernible] under IFRS. Consequently, the operating profit is negative for the full year. This is mainly driven by the Uniper segment as they have the strongest exposure to commodities. This mismatch is only temporary and will revert and resolve overtime as these products go into delivery, and to positions settle. Therefore, as we already saw in the last quarter, it will turn back and come as a profit. We adjusted for this, like for any other one-off in the items affecting comparability.  On the full year, there is a negative of $5.4 billion change in the fair values of derivatives, mainly, again, in the Uniper segment as hedge accounting is applied only to a limited extent there. The other Fortum segments are applying hedge accounting and thus the volatility in valuation is balanced versus equity. This effect is only partly compensated by the well-known capital gains of the divestment of our 50% stake in Stockholm Exergi and the Baltic district heating, also included in the items affecting comparability. Last but not least, income tax is significantly positive as a consequence of the recorded fair value losses while the comparable income tax rate was 24.2%. And now over to the balance sheet. Here, the increase in commodity prices had a significant impact on the derivative financial instruments, especially again, in the Uniper segment.  Please note that those are booked on a gross basis to the balance sheet. So all deals increased the balance sheet even though maybe it's the same product has been sort, and sold, and bought back and forth over again. Consequently, the substantial increase in the fair value of our financial derivatives made the balance sheet triple to roughly a €150 billion from €57 billion where we were a year ago. As most of our hedges are placed at traded markets, the collateral and margining requirements have gone up substantially. Uniper faced a steep increase and volatility in variation margin calls in the third and fourth quarter, last year. We're working closely together with Uniper, their business, as well as their financing partners to make sure that those cause and the resulting liquidity risks are properly managed.  Consequently, interest-bearing liabilities increased in context of a series of precocious financial measures taken then. Additionally, Uniper relied on a broad set of tools and various operational measures within the commodities portfolio. Consequently, at year-end, we had €7.6 billion liquid funds plus undrawn credit lines, providing additional headroom in these turbulent times. These measures taken are also reflected in the cash flow statement now on the next slide. In essence, the cash flow statement confirms what we have seen in the balance sheet. The net cash out of the change in margining receivables and liabilities is covered by additional financing, the sales proceeds from divestments, and by a high operating cash flow. This operating cash flow doubled from roughly €2.5 billion in 2020 to close to €5 billion in 2021.  This was mainly driven by a higher cash-effective EBITDA due to higher earnings on the one hand, but also due to operational liquidity measures undertaken by Uniper, as you mentioned before, on the other hand. The cash flow from investing activities is clearly driven by the divestment and the margin receivables. One road on our financing activities in order to achieve high liquidity in the most cost-efficient way Fortum and Uniper used a broad set of financing tools, including commercial papers, bank loans, inter-group loans, and ultimately also operational measures within the commodities portfolio. The next slide now shows net debt and our maturities profile. As you can see here, our net debt declined significantly. Let's look at the major items impacting financial net debt. First, the highlighted cash flow from operating activities. Including the comments I made to the previous slide.  Second, the divestment made and throughout the investments paid, dividends paid includes the dividends to Fortum shareholders and to the minorities. The minority part will reduce this year by approximately a €100 million, assuming that Uniper's AGM will approve the minimum proposed dividend. As Markus highlighted. We do not see a reason for Uniper to pay dividends going forward. We see them rather focus on liquidity and growth in the coming years. So this will enhance our cash flow and have a positive effect on net debt. And I mentioned already before, the overall leverage KPIs of 0.2 times net debt over EBITDA. So I'm not going to repeat it here. We currently have $16.1 billion of gross debt and an average interest rate on this of 1.3%. Looking at the loan maturity profile in the lower part of this chart, this might appear a bit front loaded, but please note that the increase in short-term liabilities is linked to our cash reserves. As we wanted to increase our financial flexibility in this extreme commodity market situation.  At the same time, our liquidity position is very solid with liquid funds of approximately €7.6 billion. In addition, we have signed new OCFS of €5 billion and these are undrawn. So overall, our liquidity position is solid. And regarding our rating, we are in continuous dialogue with our rating agencies following the liquidity stretch at year-end our rating was a firmed in January. And obviously we now have a new situation with Russia. And our discussions continue with the rating agencies. Now finally, coming to the outlook. Our successful hedging has continued to create predictability and visibility. The hedge prices for Generation -- our Generation segment increased for this year, while it is at the same level in Q3 for the year 2023. The explanation for the decline in Uniper Nordic hedge prices, is the use of proxy hedges, and as those proxy hedges moved out of the money, the hedge prices shown here went down. It is also good to note that the year shown hedge prices are only for outright volumes, i.e., hydro and nuclear, so gas or coal are not included. The same applies also for the Uniper disclosures. Regarding capex for 2022, the level is expected to slightly increase compared to 2021, and our total group capex is estimated to be approximately €1.5 billion, of which maintenance is expected to be €800 million, roughly. For the year 2022, maintenance capex is at the upper end of the range of what we would call a normal maintenance capex, which would be in the ballpark of €750 million. We have slightly narrowed the range for our tax rate guidance. At the same time, the tax rate is slightly increased as the result mix is shifting towards countries with a higher tax rate. With this, I conclude our presentation and we are now ready to start the Q&A session. And Ingela, over to you.
A - Ingela Ulfves: Thank you, Bernhard. And thank you also, Markus. We are now ready to take your questions. So please state your name and company before asking the question, and we will also ask you now to limit yourself to max two questions each. There is also the possibility to ask questions on the chat. However, if they're very many questions coming from the teleconference, we will have to prioritize those and therefore ask you to also leave your contact details when a posting a question on the chat, so that we can come back to you later. So with this, let's begin the Q&A session, moderator, we are ready to start.
Operator: Thank you. Just as a reminder to consistency, [Operator Instructions]. Now, first question comes from the line of Lueder Schumacher of Societe Generale. Please go ahead. Your line is open.
Lueder Schumacher: Good morning. And thank you for the very detailed presentation. So many questions, but I shall try to limit myself to two or two-and-half - ish. The first one is on the renewed surge in energy prices since last Wednesday. If I understood you right, Bernhard, as you said, that you have lined up an additional €5 billion credit line to deal with, I guess, variation margin demands. Are you also in a position to extend the credit line for Uniper if that will be required? And also, Markus, you said that you see no reason for Uniper to pay a dividend going forward either. Could you maybe elaborate a bit on what exactly you mean by that? Why should Uniper not pay dividend?
Markus Rauramo: Okay. I can start. So first of all, on the energy prices on the margin impact. So we have been moving a lot of positions from counterparties that require margining to non - margining counterparties. So the exposure is smaller on that front and on the Uniper dividend, the Fortum messages that Uniper should be focusing on maintaining its liquidity and focus on the growth areas. With regards to your question that can lines be extended further two Uniper. Uniper put in place the KfW transaction. Fortum has ranged long-term financing. All the financing also for itself, and extended the credit line to Uniper. And we will follow the situation and take financing measures according and base to the needs.
Lueder Schumacher: So before you would offer any additional credit line to Uniper, you would require Uniper to use the $2 billion from the KfW, which would mean that the board has to wait for any of --
Bernhard Gunthe: This is -- we don't give any specific details on this, Lueder, and good morning from my side as well. But I mean, it's quite obvious, for example, as Fortum is currently on a very strong liquidity position. It would be unwise to resort through external financing, while with intra -group you still have significant liquidity buffers. Yes. But as Markus said, of course, we are watching the situation and we feel very comfortable that also within both politics, in general, but also in KfW as a state-owned bank, there's much awareness of the developments going on.
Lueder Schumacher: Okay. Very clear. Thank you.
Operator: Thank you. Our next question comes from the line of Vincent Ayral of JPMorgan, please go ahead, your line is open.
Vincent Ayral: Yes, and a very good morning too. I'll stick into two questions, I'll come back on the variation margins, but I'll talk on Russia and just to understand them and thank you for the information on your Russian exposure here being in the Nord Stream 2 pipeline or actually the operations you have there apparently indirectly through Uniper. We do not see any impairments. There's been some sanctions. Well, of course, it may be a bit early to do it. It's seems that Nord Stream 2 maybe looking -- maybe reportedly, looking at filing for bankruptcy, what are the necessary conditions for you to do an impairment on the Russian assets. Just to understand, there is a red line after which basically we have to part on this.  So which line is it's and shall we take it that it's €5.5 million impairments as per the slides. The second question on variation. I noticed you said that the [Indiscernible] grown. When you size basically the situation for the variation margin, are you looking at sports or calendar forward? There is a very large discrepancy between the two at the moment. It's just for us to understand basically, which is the one we should look at, in order to assess if the situation is deteriorating fast or extremely fast. Thank you.
Markus Rauramo: I can take the Russia situation, let Bernhard answer the technical side of impairment, and also the various in margin. So just start with the situ -- well, first of all, as I said already earlier, we are devastated on sudden about the situation, what is happening. So the situation is serious and it will have long-term consequences. That is clear. Against that background, the situation with our operations is normal. Our operations in Europe are working, our operations in Russia are working normally. Gas is flowing through all the pipelines that are operational. And our main focus is on the security of supply of our customers, of our European customers, to provide clean energy, clean gases, and the flexibility that they need.  And I highlighted the need for energy transition. We're very well-positioned for that. What comes to the total exposure? You quoted our statement of the $5.5 billion net asset value in our books. So that comprises of Fortum Uniper and the Nord Stream to exposure. And then naturally, we follow in the normal course of business, if there are indications, impairment indication triggers that we would observe and we would have to take action based on that. And then the technical part of that I give to Bernhard
Bernhard Gunthe: Yeah. Maybe just quickly asking back on your variation margin question. Did I understand you correctly that you alluded to the difference between spot and forward curves we look -- prices we're looking at or was it something different?
Vincent Ayral: Yes, absolutely.
Bernhard Gunthe: Yeah. Well, I mean, if -- for our overall exposure as Fortum Group, including Uniper, the whole forward curve is a much more relevant, yes. So it's not the immediate spot volumes which are of a nature that would cause major variation margin swings. So it's rather the curve along the time horizons, at least until the end of the next winter. We are closely looking at. We view this, as Markus said, as a long-term business, it's about security of supply and accordingly also, our positioning and optimization of this business, and to hedging of this business is conducted.
Vincent Ayral: Sorry. If I take it, basically, and you said that this would be weighted average by the volumes, and therefore the calendar of 23, maybe a bit more rather than this spot [Indiscernible] of probably waiting.
Bernhard Gunthe: Without giving you any specifics. But of course, we are looking at the products in the granularity that they are traded. Yes. So for the first -- for the immediate period until the next winter, you can have monthly products and you have quarterly products and thereafter, the buckets get a bit broader. So we hedge on as granular basis as we can, and this -- in order to optimize also our liquidity exposure there.
Vincent Ayral: Thank you.
Operator: Thank you. Our next question comes from the line of Deepa Venkateswaran of Bernstein. Please go ahead. Your line is open.
Deepa Venkateswaran: Thank you. My two questions, I wanted to focus on the liability or consequences in case there is disruption of physical flows from Russia given approximately whatever the 200-terawatt hour procurement contracts that Uniper has. Could you maybe explain to us what happens in that situation? Clearly, the spot prices will go high and maybe there is an actual shortage of gas. So what happens in that event? Who bears that loss? And obviously, depending on the extent of shortage, we could be talking about some huge numbers, so in that situation, in your scenario planning, I just want to understand, would you be ready to -- if Uniper needs new equity, would you be ready to invest in?  So maybe if you could just talk us through what happens in these extreme scenarios, and who has to bear this price consequence. And secondly, on the dividend policy where you outlined that there is a liquidity issue that Uniper needs to focus on now and growth in the future, I just wanted to also understand that isn't there also by implication a liquidity issue for you in case things take a turn for the negative. You're still paying dividend this year, so I was just wondering why preservation of cash at the group level is not relevant given the market conditions now? Thank you.
Markus Rauramo: Okay. On these two questions, on the gas supplies, we follow the situation very closely; how laws, regulations, sanctions are developing, and we are in continuous discussion with Europe and the respective national governments on what are the potential sanction developments, and what would be their consequences for the security of supply for Europe. If there are sanctions that have consequences on our business, which is not the case for the time being, then that will be discussed with the relevant authorities and governments, what are the impacts. On the practical side, how we are helping Europe and our European customers to deal with this issue right now is that, first of all, we make sure that the supply is currently work. Uniper has procured additional LNG cargoes to Europe, to its global access to LNG. And we have resumed discussions with the German government to consider a hydrogen ready LNG terminal for [Indiscernible]. Then for the dividend policy, our target is and remains to pay a stable, sustainable, and overtime increasing dividend. And that should be underpinned by good results produced from our existing and future businesses and their good performance. So we focus on the performance, we focus on our growth, clean electricity, increasingly clean gas, and flexibility. And as you have seen today, we have also announced the lifetime extension of Loviisa to that extent to provide this which will further support both availability, stable capacity, CO2 free power, and our earnings power for years to come.
Deepa Venkateswaran: I'm sorry, if I could just ask a follow up on that same question. I mean, I'm not talking about sanctions, but if there is a retaliation by Russia and they turn the gas taps off, surely under that circumstance, my worry and I note that Loviisa seems the outlook to negative possibly due to the NPC exposures. So I was wondering. In that scenario, would you -- if you have to invest into Uniper and infuse that quickly, would you be prepared to do that?
Markus Rauramo: The situation is changing all the time. We are observing all the areas continuously. And like I said, we are in active dialogue with respective governments on security of supply. And we will comply with those sanctions, we will deal with the situations and make sure that the security of supply continues to work for Europe and our European customers.
Bernhard Gunthe: Maybe to briefly add Deepa. I mean, you're probably referring to the Uniper LTCs delivered to Germany. So whenever a situation would arise that would be a curtailment of volume which is not caused by sanctions, but by other aspects, it could, of course, either be force measure because simply pipelines would be destroyed as a consequence of military action. Or if it is not a willful curtailment by another player beyond our control and influence, then we would assume it affects the whole of the Central European gas supplies and that then there are very clear emergency mechanisms in the various countries including Germany, that either the TSOs or the [Indiscernible] are going to step in and basically balance this out. And this then is a kind of market which will no longer be played along commercial and supply demand balancing by-market forces, but just by physical matching of the different needs of demand by different sources of supply. So that's why you see us very cool-blooded on this risk.
Deepa Venkateswaran: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of James Brand of Deutsche Bank. Please go ahead. Your line is open.
James Brand: Hi. Good morning, and thank you for the presentation. I got two questions. One, follows on from Deepa's line of questioning. What do you think about [Indiscernible] at the moment, and many people are really worrying about? And one is a little bit less relevant current events, but nonetheless, something I'm interested in. So I'll ask you [Indiscernible] anyway. The first question is, I guess along the lines of questions that were just being asked, what people seem to be kind of most worried about is -- if there is a shortage of gas, kind of financial implications on the contracting side, and worrying --you say that you may force material could be an option. But as I understand it, some of the contracts that have force material someday, and obviously that could be under extreme sides, it's very big swing in cash requirements.  I was just wondering whether you're speaking to governments to make sure that they're whether there are risk and where do you think that mentioned in the answer the last question that that'd be reordering the gas flows under kind of current market structures. But it might need to be reordering of contract provisions or capping prices to avoid significant plenty implications along the gas supply chain. Are you taking to government to make sure they're aware of those risks? And then the second question, I think the last one, so I apologize. But the Loviisa life extension that you mentioned in your release that you're estimating that you're going to spend a billion euros of investments over the lifetime of that [Indiscernible] to 2050. I'm I right in reading that is going to have average out 13 million of capex a year, in the next 30 years because I was a little bit surprised about that number wasn't higher? Thank you very much.
Markus Rauramo: On the first question on how aware are EU and the national governments, I think we see from the EU communication and how frequently EU, the leaders of the EU countries plus other countries and the respective ministers are meeting. So my understanding is that the situational awareness is very good, and Europe is then focusing on the security of supply and working actively to make sure that Europe has the resilience to deal with the situation.  So understanding that situational awareness also on a detailed level is good, and the price peaks that we saw in December already raised the awareness, and I think both governments and the regulators got a good understanding of what the consequences are for the market, liquidity needs, cash needs, ability to serve the contracts. So awareness there is good. Indeed, we have invested in the latest years, over €300 million into Loviisa and €1 billion is the CAPEX that would then be spent over the lifetime extension of the Loviisa plant.
James Brand: Thank you. That's reassuring in terms of your first answer, and thank you for the second answer as well.
Operator: Thank you. Our next question comes from the line of Ajay Patel at Goldman Sachs, please go ahead. Your line is open.
Ajay Patel: Good morning and thanks for the presentation. I think one question is just a clarification and then I have a question following up. So I think we just said that in the case of an emergency situation by supplies weren't to come through that there are emergency measures in place, the TSA would step-in. I guess my question is, who would take the costs of all that? So if you could give me a little bit of clarity there, I'm not too familiar with this emergency measures so any detail that could be really helpful. And then just my other question is just on Nord Stream, how much interest income that it's bringing in the financial arrangement and what cash flows for Fortum specifically, where you get thing from Russia, maybe over the last few years to give us a sense of what cash was coming to their grow group? Or was it all being reinvested into Russia? Just wanted to get a sense of that. Thank you very much.
Markus Rauramo: Okay. I can start, and let Bernhard continue on rhe emergency measure part. But the interest income and cash flow from Russia, so indeed, Uniper has been booking the accrued interest from its lending and financing arrangement to Nord Stream too. But that has been accrued interest and that's not -- that's visible on that side. And then the cash flow from Russia, so both Fortum and Uniper, and previously on, have been taking cash dividends from Russia. So we invested into the thermal CSA capacities, and then once the capacities were invested and finalized, then we have been taking some hundreds-of-millions per year from Russia in form of dividends, depending on the year. But overall, still coming back to the total Russia exposure and an also positioning Nord Stream to its relevance in that. So the total book value of the net assets for Fortum, for Uniper, and the Nord Stream to lending, the net asset value is about €5.5 billion, comparable operating profit around €500 million, which is about 20% of our comparable operating profit on a group level in 2021.
Bernhard Gunthe: Yeah, to the first question, well, I think I said the -- that it could be the TSO who steps in, it could also be the [Indiscernible] under other circumstances. So there is now currently a myriad of scenarios on how exactly if curtailments come, how they are caused and what effective they would have. And this is then past dependent on what direction would be. And since this has, so far never been tested in practice, I think it's -- will then remain to be seen how exactly the quality financial fall out from this resolution of this physical supply challenge would look like. But as said by Markus, yeah, they are -- we are in good shape for that and there are open lines to the relevant players also on the political and regulatory side.
Ajay Patel: Thank you very much. And was there a specific number on the Nord Stream interest that you were booking that you could give us?
Bernhard Gunthe: Yes. On the ir team can come back to that this year precisely to you if that's okay.
Ajay Patel: Fantastic. Thank you very much for the answer.
Operator: Thank you. Our next question comes from the line of pisces of nadam, please go ahead. Your line is open.
Pasi Väisänen: Great. Thanks, this is Pasi Vaisanen from [Indiscernible]. I'm so sorry to repeat this topic already highlighted, but -- so do you have a risk or do you not have risk related to gas deliveries in here from Russia to Central Europe regarding your kind of contracts already made for the gas and power. And maybe secondly, regarding this already [Indiscernible] to €12 billion margin requirement. Is there any kind of counterparty risk related to this item? So is there any chance that you may not get to all the money back in some particular circumstances. Thanks.
Markus Rauramo: On the gas contracts, we disclosed a number, 370 terawatt hours of gas that we procure with long-term contracts. And these are not back-to-back contracts, so we don't have a long-term contract to buy and then sell that exact gas. If there would be disruptions for any of these supplies, then the question would be that, how can we, from our gas portfolio, supply all of our customers? Yes, if there are some disruptions in any of the LPCs, then than that risk exists. Then what comes to our overall exposure in the total context, we are one of the many importers of gas into Europe. We're not the biggest part of either the Russian gas flows into Europe. If the gas flow from Russia would stop, then it would be a Europe -wide problem and a systemic problem for Europe. And that's why we come back to that -- the point about European government regulators being very much on top of the security of supply issue. And to my understanding, they are very aware of that. Indeed, it is so that there is counterpart exposure on the margining. When cash is with the counter-party then we have the counter-party cash credit risk and we follow the quality of these counter-parties very closely. What comes to the margining overall, we have moved our trades away from margining requiring counter-party? So the pressure now with recent gas price movements is much less on us than it was around the turn of the year.
Pasi Väisänen: That's understood. But pretty it actually makes sense that you are actually now lowering the trading volumes just to get the risk levels down into future so should we expect [Indiscernible] a volume and also to lower property. I was just trying to underlying earnings coming from the trading into future. Thanks.
Bernhard Gunthe: Maybe it's important to know it's not trading volumes, it's hedging volumes. And yes, of course we have reduced significantly since the commodity price volatility ramped up in the second half of Q3 last year, our hedging volumes. Which is not -- does not say that the business is gone. Yeah, it's just that the long-term hedging which was prevalent in this business model, is now not done in the same way as before. We have seen these steep increases in volatility and price levels.
Markus Rauramo: We are continuously evaluating the capital needs for our different businesses, and that happens in the normal course of business, which obviously has intensified now for certain businesses in the short run. But putting -- then maybe lifting up a little bit and looking at the total picture. So what arises from actually, although the question is that that have been asked here is the need for the energy transition, is the need for the security of supply, need for flexibility, and clean power, increasingly clean gas, and these are all things that we are supplying. The weight of the Russian business for us in our operating profit last year was 20%. We are advancing on making investments into clean power. We are advancing on making investments into increasingly clean gas and flexibility. And just today, and in the recent days and weeks and months, we have been making announcements in that direction. So we feel that our strategy remains valid, and even more needed now than it was before, and our competencies are spot on with the needs that the society and our customers have.
Pasi Väisänen: Great. Thanks. That was all from my side.
Operator: Thank you. Our next question comes from the line of Tatiana Croft of Handelsblatt. Please go ahead. Your line is open.
Tatiana Croft: Good morning. Thanks first of all for your statements on Russia, which were quite clear and I would have a question on -- about some more clarification on the topic of Nord Stream 2, because in the last days we heard from Shell as well as [Indiscernible] that they want to amortize their investments in Nord Stream 2. So could you say something about whether Uniper's planning to do the same?
Bernhard Gunthe: [Indiscernible] on this. I mean, I think you're referring to the announcements like [Indiscernible] that they would impair their book values on Nord Stream 2. This is clearly nothing for the closed accounts of 2021. We will clearly reconsider this for the Q1 numbers, i.e. after the 31st of March, we will take a close look at that, what the current situation means, and we all know the rumors going back and force currently on Nord Stream 2.
Tatiana Croft: All right. But you're not planning to make any statement on that soon like the other investors did?
Markus Rauramo: Not at this point in time.
Tatiana Croft: All right. Thank you.
Markus Rauramo: On this account and like any other parts of our business, we follow very closely what is happening. And like Bernhard said, we hear rumors and we hear information of -- and various statements of various players. And then I think you need to look into that, what is actually happening and what is possible to happen. When there are facts, when there is concrete knowledge of something, we will always assess that information. But so far, we hear certain rumors and we hear certain facts. And I'll go back to that. With regards, for example, our all of our operations, all operations are working normally. If that would change in any part, then we need to assess the situation. And that may or may not reflect into our balance sheet our profit and loss.
Tatiana Croft: Okay. Thanks for your clarity. Be patient
Markus Rauramo: Thank you.
Operator: Our next question comes from the line of Iiris Theman of Carnegie. Please go ahead. Your line is open.
Iiris Theman: Thank you for taking my questions. So on maturing these already on track, but gas units, oil contracts include this for measures are close. And how long are universal long-term contracts Thanks.
Markus Rauramo: The long-term contracts can extend for years and an even longer, and there are frame agreements that set certain terms and conditions. The idea with the whole long-term contract, gas business is that we have visibility into getting gas flows into Europe and to our European customers. That applies for pipeline gas and LNG as well. And then with regards to the contracts of terms and conditions, we will see in the course that there are there triggering events for some parts of these contracts. We follow that very closely on our focus is on the security of supply to our customers, which we are working on very actively.
Tatiana Croft: Okay. If I may just continue. So many companies have leaved Russia, is this in your plans in the future?
Markus Rauramo: Like I started with -- we're devastated and sad by the attack of Russia to Ukraine, and it will have longer-term implications on the relationships between Europe and Russia. It's clear that business cannot continue as usual. And because of this, we have decided to stop making new investment decisions in Russia for the time being. And we will continue to reduce our thermal capacities in Russia as we have done before. But also we have the responsibility to supply both the European customers and our Russian customers to heating the electricity that we're providing to them. And because of that, also our focus on priority is on our employees and their wellbeing. We have 7,000 colleagues in Russia. And we look after their safety and their wellbeing. So these are, these are in our focuses.
Iiris Theman: Okay. Thank you very much.
Operator: Next question comes from the line of Louis Boujard of ODDO BHF. Please go ahead. Your line is open.
Louis Boujard: Yes, good morning. Thank you very much. Maybe two questions. The first one would be regarding your discussion with the respective countries. And we know that depending on the decisions that may be taken with European level, it might have on the taking partner into the bill of the finance customer. So my first question would be, have you actually started any discussions regarding eventual grow back provision on outright [Indiscernible] assets, or it's some things that is up absolutely not under discussion at this point in time? My second question, and here we will start to go a little bit in to the actual operational activities. Would be regarding the hedging on the Nordic for our market price. It's a bit better than Uniper last week. But anyway, when we look at the follow-up price, we have a feeling that it might have been much better than that.  So could you please let us know what might have impacted you or refrained you from being a better positioned into your hedging positions for the Nordic price of 2023? Thank you very much.
Markus Rauramo: With regards to the discussion with the respective countries and governments, there's a continuous discussion whether it's EU, UK, U.S. on how to react to the situation and the government are then in discussion with companies, how will that impact companies? How will that impact our societies and economies? And that's what the governments are then balancing, advancing their targets, but understanding also what are the implications then for the businesses and the citizens. With regards to hedging our targets with the hedging is to provide stability and predictability, visibility into our cash flow and earnings. Sometimes when we hedge prices after that they go down, sometimes they go up. And as we can see from the last two years, the hedging has had either a positive or negative impact compared to whether we would have been not hedging. And that we got enormous stability compared to the price volatility. And we see high value in that predictability that continues to underpin our hedging strategy.
Louis Boujard: I'm sorry but if I can follow up on the last one, I understand that indeed, it gives the ability. My question was more if we look at the flow of [Indiscernible] Nordics that you provide, we have the feeling that it could have been better. Maybe what happened in the Q4, that enabled you to improve a little more, your hedging positions?
Markus Rauramo: We hedge on a continuous basis and we take operative decisions in the -- in our trading and optimization team, both in Uniper and in Fortum. Eventually over time, the hedging levels will also reflect the forward pricing, so there can be variation between quarters. But there's nothing special as such happening there, except that obviously, you can see the big difference between the Fortum and Uniper hedge prices, and that we have opened up, Bernhard referred to that, different price areas. And also, the proxy hedging impact on Uniper. And even there, the target has been to provide the flexib -- the predictability and visibility into the cash flow. So this truly underpins all the hedging activities.
Louis Boujard: Okay. Thank you very much.
Operator: Thank you. Next question comes from the line of [Indiscernible]. Please go ahead. Your line is open.
Unidentified Analyst: Thank you. From Nordic Credit Research. I would ask that assisted already a leverage as well below your target and you're well-positioned into the turbulent market. But could you elaborate more on your financial flexibility at the moment and how it will revert? Like will you use the headroom in leverage more to prepare and navigating into the turbulent market with minimal deterioration in your financial position? Or are you planning to utilize it in the more investments into non-Russian operations as referring your heart of new investments into Russia, or possible increase in your ownership in unit that further.
Markus Rauramo: Indeed. I think we're going into this sad and very turbulent situation from a position of strength. We can see that our strategy, which regards to clean power, increasingly clean gas and flexibility, does make sense. And it has yielded good results, the best ever results on a Fortum group level. Also, the strategic choices we have made with regards to divestments and the portfolio rotation are resulting in a balance sheet that's well within our leverage targets. The situation right now is leaving very quickly. It does not change our fundamental beliefs in our strategy. We think our strategy is more valid than ever.  And as you saw today, even in between -- in the middle of this turbulence, we are making decisions to invest into this future. Providing, for example, clean, reliable energy to our customers. But obviously, we will be careful in this kind of a situation in how much we are then stretching our financial capacity at the moment. So we are carefully observing the situation on a continuous basis and seeing where that develops. But what -- but I can still underline is that, to me, it's quite clear day-after-day that what we provide is in high demand, which will also reflect in those businesses results over time, that provide the clean power, that provide the flexibility, that provide the predictability.
Operator: Thank you. Our next question comes from the line of Piotr Dzieciolowski of Citi. Please go ahead. Your line is open.
Piotr Dzieciolowski: Hi, good morning, everybody. I have two questions please. The first one will be on the Wilhelmshaven LNG terminal, if you had the decision today, let's say to Russia, how much would it cost to be on it towards the capex requirement, and what's the earliest possible time for you to deliver it, and so if you can comment on the -- on this possible project. And on the second question I have regarding the coal plants in Germany where you went to do auction and shutdown some of the assets, I wanted to understand -- so my understanding is this happens [Indiscernible] DSOs front, so they're not commissioned or how much of the recently decommissioned coal assets eventually be [Indiscernible] could come back to the market if needed. Are we talking about the 4 gigawatts that went offline last year and the 2 gigawatts that come, can this all be reversed and are there any other backup plants that could maybe stand up when needed?
Markus Rauramo: With regards to, you know, that Uniper had similar plans, had the open season, which then didn't result actually in an LNG terminal to proceed. The -- what role Uniper exactly would have in that project would be open as well. So in these kind of cases, we could be one of the sponsors. They're also not defined at this point in time. And with regards to our capex of such a terminal, we talk about the hundreds of millions of euros, what would be the company's commit -- financial commitment to that that would remain to be seen. So this is early stages without details at this point in time. Then with regards to coal plants, it is exactly indeed so that Germany has going ahead with its coal exit plan, arrange the tenders, and companies have tendered on and some have won. We have won an award to close down four plants so far. And on some of these cases, the system operator has defined that these plants or a plant shall remain in reserve to be called. If there's a need for the system.  If this transfer system critical, I would imagine that this is one of the questions that authorities and regulators have to assess on an ongoing basis in this situation; that what's reserve capacities are there truly, technically available, and how can they be maintained in the system, and compensated for to really, truly keep them available for various purposes? But this -- I would assume that this is truly an ongoing, continuous consideration for the authorities and regulators.
Piotr Dzieciolowski: Okay. Thank you so much.
Operator: Thank you and our next question comes from the lineup, Beletski Artem of CP, please go ahead your line is open.
Artem Beletski: Thank you. I still have two questions to you. So first of all, does coming back to gas discussion topic and maybe what comes to so the gas contract with Uniper has towards European customers. Could you provide some color or what type of structure? As almost one time we talking about basically one a year or two year contracts in general, what they have on the inside. And the second question is really relating to nuclear and just thinking about shutdowns, what have seen, for example, in speed and over these years, if all the sudden we are really concerned about energy supplies and so on. Is it technically possible to basically restarts also reactors? And what type of sorts of work keeping it is needs to be done on the tight
Markus Rauramo: Okay I can start with the shutdown. After the shutdown. Various reactors. Then very detail decommissioning plan exists and process how to -- how to then take out these plants so they are of course in different stages. But I would say it's very difficult then to anymore plant that is already going through the decommissioning to then get that back to the -- back to the market. What I do recognize is that against the background of the huge need to do the energy transition, there is a renewed interest in nuclear because it does provide reliable CO2 free power. There's a lot of discussion about small motor reactors that could be produced in series. And the question then will become that, how will and how could such stable and permanent capacity get compensation from the market? What we have seen is that we have increased press volatility that will continue when we get more intermittent renewables into the system. So eventually we will have a discussion in Europe also about how should the market work, what is the market design, how does that look like? But we have -- we are one of the largest nuclear operators in Europe, and we just took a decision to extend the lifetime of our very efficient, one of the best plants, if not the best of its type to extend its lifetime. With regards to the gas contracts, do you want, Bernhard to comment on that one?
Bernhard Gunthe: But there's a pretty broad variety. Typically, the contracts that we supply our customers with are of a shorter duration than the long-term conflicts would be. But over the recent one or two years, we've seen a significant surge in demand for longer-term contracts, again, yes. So because obviously customers do want some protection against wild swings in commodity prices for their own visibility and ability to plan their businesses. So this is going up at least in terms of demand, was a market which was pretty debt a couple of years ago, at least in continental Europe.
Artem Beletski: Okay. That's very clear. Thank you.
Operator: Thank you. As we have reached our allotted time now, that will be the last question, so I'll hand back to our speakers for the closing comments.
Ingela Ulfves: Thank you so much, Operator. We will still take two questions before we conclude. So the first one comes from Sam Arie, UBS. Thank you, Markus and the Fortum team. I would like to acknowledge the extraordinary stress that is currently placed on your business and to thank you again for your leadership and for the many helpful comments today. My question is about the CU -- EU carbon price. You have always been a supporter of higher carbon prices, but in the current market, higher carbon prices are surely supporting demand for gas across Europe. Do you see a risk that the EU authorities will intervene somehow to bring the carbon price down in order to allow the maximum coal to run reduced gas demand from the power sectors? If you can share any view on how that might happen and when? The other question comes from [Indiscernible]. In Russia, Fortum has JV with Gazprombank in renewable energy and your minority owner in Gazprom's [Indiscernible]. Do you want to continue cooperation with these Russian state-owned companies or do you plan to sell or give up these stakes?
Markus Rauramo: Okay. I'll start with the Telo Selma (ph) question. So we follow the laws, regulations, and sanctions very closely, and we will comply and we do comply with our sanctions. Clearly, the situation at hand has long-term impacts, and business as usual, is not possible. In the context of our business in Russia, we will not take any new investment decisions for the time being, and we will reduce -- we will continue to reduce thermal exposure of our business. With regards to the question about their carbon price and Europe, we do have a terrible crisis at hand in Ukraine. But what was also highlighted, actually during this week, was the IPCC report, highlighting that we have another issue at hand, which is very serious, and that's climate change. I do think that we have to make sure that the energy transition happens to low emitting energy, to clean CO2 free energy, to increasingly clean gases.  And that requires flexibility on sector integration. Gas is needed also going forward. All sectors cannot be electrified, but we can increase the use of electricity, convert that into clean gases, and overtime, switch them to a completely CO2 free system. And that is what Fortum is committed to also, and Europe is committed to. The Paris agreement signatories are all committed to. We will continue and I believe that Europe will continue to work into -- into this direction.
Ingela Ulfves: Thank you so much. Time is unfortunately up now, so we will have to conclude the event here. The Oyer(ph) team will come back to the questions asked in the chat that we're not answered now, and Fortum's news desk will get back to the Journalist questions that also were had posted in the chat. So on behalf of Fortum, thank you, everyone for your participation here today, and have a nice rest of the day.
Markus Rauramo: Thank you everybody. Have a good day.